Operator: Good morning or good afternoon. Hello and welcome to the Shift4 3Q 2022 Earnings Call. My name is Adam and I’ll be your operator today. [Operator Instructions] I will now hand over to Tom McCrohan to begin. So Tom, please go ahead when you are ready.
Tom McCrohan: Good morning, and thank you, operator. We welcome you to Shift4’s third quarter earnings conference call. With me on the call today are Jared Isaacman, Shift4's Chief Executive Officer; Taylor Lauber, our President and Chief Strategy Officer; and Nancy Disman, our Chief Financial Officer. This call is being webcast on the Investor Relations section of our website, which can be found at investors.shift4.com. Our quarterly shareholder letter, quarterly financial results and other materials related to our quarterly results have all been posted to our IR website. Our call and earnings materials today include forward-looking statements. These statements are not guarantees of future performance and our actual results could differ materially as a results of many important factors.  Additional information concerning those factors is available in our most recent reports on Forms 10-K and Form 10-Q, which you can find on the SECs website and the Investor Relations section of our corporate website. For any non-GAAP financial information discussed on this call, the related GAAP measures and reconciliations are available in today's quarterly shareholder letter. With that, let me turn the call over to Jared. Jared?
Jared Isaacman: Thank you, Tom. Good morning, everyone. So, we have a lot to talk about today. We're very pleased with the record results and responsible growth we delivered this quarter, especially in an environment of increasing economic and geopolitical uncertainty. I'm incredibly impressed with the Shift4 team that executed so well on a number of important organic and inorganic initiatives, including closing on an international PSP, releasing SkyTab POS from beta, insourcing some of our best distribution partners, and driving substantial volume growth in our new verticals. Not surprisingly, our high-growth core continued to be the primary driver of our performance, but our new verticals and recently released products are playing an increasingly larger role in our growth, which sets the stage well as we close out 2022 and move into 2023. So, for the third quarter, organically, we generated 53% year-over-year growth in our end-to-end payment volume and 33% year-over-year growth in our gross revenue less network fees. We exceeded 20 billion in quarterly volume for the first time in history and we also achieved quarterly records for all of our KPIs, including adjusted free cash flow. As mentioned, our results benefited from continued strength in our high-growth core, as well as a more meaningful contribution from new verticals, which includes Sports & Entertainment, Gaming and Sexy Tech. Our men's gateway conversion strategy continues to be a reliable source of new wins. And during the quarter, we renewed several enterprise gateway customers on economic terms comparable to our end-to-end offering. This is one component of our previously announced gateway sunset initiative. Additionally, our strategy to deliver a unified and global commerce capability is well underway and we expanded our international and e-commerce capabilities this quarter, which I'll speak to in just a minute. And as some of you know, we officially launched our SkyTab POS in September and early indications are very encouraging. Most importantly, we delivered on the financial promises we laid out a year ago at our inaugural Analyst Day event in November 2021 and we’re looking forward to meeting with many of you later today during our SkyTab showcase and business update where we'll provide more specifics on our progress and future growth plans. It is worth emphasizing that virtually all of our gross revenue less network fee revenue and volume growth this quarter was achieved through focus and strong execution of our organic initiatives. That stated, in the last few days of the quarter, we did close our first international acquisition, a European PSP, which brings tech capabilities that will enhance our ability to attract and integrate new customers consistent with our global expansion strategy. This acquisition is very complementary to Shift4’s operations in the United States and will be a key enabler for future international expansion and deliver additional synergies upon the eventual closing of Finaro. On that note, the previously announced acquisition of Finaro is still pending regulatory approval, but we do expect that to close by the first quarter of 2023. Given the results of the third quarter and our early look into the fourth quarter, we will be increasing our 2022 guidance across all of our KPIs. To this end, we are increasing all of our guidance ranges for 2022 above the high-end of our previously provided ranges. Again, this applies to all of our KPIs, including volume and adjusted free cash flow. While we cannot predict consumer behavior in this uncertain environment, we are not completely at the mercy of the broader economy as some of our peers may be. The assets we have accumulated, including our gateway and software integrations, alongside the products we have built afford us a path to exponential growth even without ever adding a new customer. As mentioned above, I do believe the company is performing quite well, despite a challenging economic backdrop. Persistent inflation remains a cause for concern, but we are focused on what we can control. So, prioritizing the needle movers and a plan to deliver profitable, responsible growth in excess of our peers. Obviously, we are not immune from economic cycles, but as this quarter demonstrated, the decisions we have made over the past year to invest in new verticals and to embark on various internal initiatives have proven to be the right decisions. We have the experience and expertise to operate in all economic cycles just like we've done over the last 25-plus years and we hope the results this quarter demonstrate the durability and uniqueness of our model. So, similar to the prior quarters, I'm now going to provide more specific updates on the performance of our high-growth core and then an update on our new verticals. So, starting with high-growth core, once again, it is the primary driver of our performance for this quarter.  As a reminder, when we refer to high-growth core, it essentially represents the company we were at the time of our June 2020 IPO, which at that time was primarily supporting the complex payment-related needs within the restaurant, hospitality, and specialty retail industries. Our right to win in these complex environments is based upon our over 500-plus software integrations, which enables us to pursue a very large addressable market, as well as cross-sell a large population of existing gateway only and software only customers. Our unique software integrations alongside technology products we have built to solve pain points within the high-growth core continues to deliver very strong results. We're still in the early innings as the TAM continues to grow as we've added over 85 new software integrations this past year and the gateway conversion funnel remains very healthy. During the quarter, we signed a number of new resort properties and high-end restaurants within our high-growth core. This includes Chickasaw Nation, which operates Winstar World Casino and Resort, which is the world's largest casino; Kahala Resort, which is Honolulu’s premier luxury resort; Shawnee Inn & Golf Resort; Pappas Restaurants, which operates 100-plus restaurant locations across the country; and Cocoa Beach Pier alongside Florida's Space Coast. Earlier this year, we began a gateway sunset project designed to accelerate growth within our high-growth core. While we are really only in the first few steps of this program, the results are impressive and include some featured wins such as Mountain Shadows Retreat and Gatesville In [ph], both based in California. Taylor will provide some further details on our gateway sunset project in just a few minutes. We continue to evaluate ourselves relative to our peers. When viewed on a four-year volume CAGR growth basis, our volumes grew 45% since 2018, compared to low-double-digit growth at the two major card networks. Our average volume per merchant continues to increase and was 214% of pre-pandemic 2019 levels for the most recent quarter. Our quarterly volume growth is 349% of pre-pandemic levels, along with gross revenue less network fees at 246% and adjusted EBITDA at 349% over the same period. Our spreads remain stable across all high-growth core verticals, including restaurants and lodging despite our continued mix shift upmarket. The recent launch of our SkyTab POS provides us with an attractive, two-part growth strategy. Not only do we unlock considerable operational efficiencies and revenue opportunities by offering SkyTab to our existing base of restaurant merchants, the price to value proposition of SkyTab is so disruptive. We are positioned to win our fair share of net new merchants as well. So this includes bringing SkyTab into new geographic markets. In addition to the traditional restaurant and hotel venues, SkyTab can now be found at the Chicago Symphony Orchestra, Iowa State University, the Los Angeles Football Club, University of Notre Dame, the Wells Fargo Center, and that's just to name a few. We are taking advantage of the SkyTab POS modern cloud architecture, intuitive features, and market positioning to improve our control over the customer experience and further enhance our unit economics by in-sourcing distribution. For example, at the beginning of Q3, nearly all of our POS sales relied upon third-party distribution. At the conclusion of the quarter, we are now more evenly balanced and ramping towards 50% direct sales and 50% third-party. You will now find most of our third-party partners operating in the more sparsely populated areas where while our direct sales presence is in the more desirable markets. That stated, we still have coverage gaps. We are looking to close on the West Coast as we build momentum around our new flagship POS product. As we have discussed in prior quarters, we remain focused on improving operational excellence by removing complexity, the leading parts, and increasing organization efficiencies. So, retiring legacy POS software brands and products and focusing energies on our new SkyTab solution with a balanced distribution strategy are great examples of the Shift4 way. As a result, we now have a highly motivated and energized [Skyforce] [ph] direct sales team and a game plan to target the over 100,000 existing restaurants using one of our many legacy restaurant POS brands. The opportunity set is tremendous and our internal distribution team is excited to deliver an unmatched customer experience, leading edge technology at a disruptive price point. As mentioned, we expect SkyTab POS to represent a compelling migration path for our existing base of restaurants, many of which are seeking new capabilities and key integrations to better serve their patrons. Its space aged hardware, also makes it a fun system for our direct Skyforce team to sell. Our opportunity set includes both the mid-to-high end restaurant customer, but also stadiums and entertainment venues. And on a very interesting note, we successfully installed our first SkyTab POS system outside of the United States this past summer. As I close out the high growth core update, it is important to remember that this category represents more than restaurants and hotels. Our high growth core capabilities also address specialty retail, including notable customers like UPS stores, the Caesars Forum Shops, furniture lumber, and other retailers that require [PCI validated] [ph] and secure integration to their commerce enabling software. With that, let's move over to the contribution from our new verticals. We have seen a notable uptick in volume this quarter from our new verticals and strategic enterprise merchant relationships. For clarity, we now consider our new verticals to be international, alternative payment methods or APMs, which includes crypto donations along with sports & entertainment, gaming, travel, nonprofit and sexy tech. It's also very important to emphasize, we will not be breaking out volumes or spreads across our new verticals or strategic enterprise merchant relationships, due to confidentiality requirements with a certain strategic customer and other competitive sensitivities. That stated, due to the timing of certain new vertical merchants boarding, we do expect spreads in our new verticals to expand in the fourth quarter. Finally, despite the inclusion of international and APMs, there was virtually no volume contribution from these categories in the third quarter, reinforcing that end-to-end volume growth remains organically driven. As you can see, volume from the new verticals accelerated in July and throughout the remainder of the quarter. We're very pleased with the progress we made during the third quarter and the improvement was also without benefit of Allegiant Airlines, which has been delayed and is now scheduled to begin processing this month. While the ramp in new verticals took longer than we originally anticipated stated, as you can see, it was only a matter of time. And we're now on track for new verticals to become a much more meaningful contributor of our overall volume as we head into 2023. As expected, the improvement in new vertical volume contribution this quarter came from implementing a number of large NCAA and NFL Stadium clients in time for the football season adding more licenses in states, which resulted in more gaming volume, and an increased contribution from our non-profit customers. To double click on some of our new verticals, starting with sports & entertainment, we signed the Houston Texas, the Los Angeles Football Club, University of Colorado, Iowa State University, Villanova University, and the Chicago Symphony Orchestra. While new stadium and theme park wins have been consistent, volume from ticketing is really only just beginning.  For example, our ticketing integration with SeatGeek is now complete, and we will begin processing ticketing this month with further integration set to go live early next year. Additionally, we entered into an agreement with a leading ticketing provider for aquariums and zoos and we also expect to go live early next year with our integration with the leading ticketing provider for college sports. On an interesting note, we've always seen the possibility of combining our strengths in sports & entertainment stadiums with gaming, and we have the first examples of this product marriage with two sports teams located in the state of Washington. Our VenueNext software remains the market leader and is now installed at well over 125 stadiums in the U.S., numerous theme parks and our win rate and funnel of opportunities remains impressive.  Our performance in sports & entertainment vertical alongside our stated international expansion plans has attracted the interest of many notable customers and we expect to continue to benefit from our position as the only company that really offers the full ecosystem to support the sporting venue. So, moving on to gaming, we continue to add state and tribal gaming licenses with volume more than tripling versus a year ago. We expect this vertical to grow as we add more APMs and international processing capabilities. With respect to our efforts in nonprofits, our overall volume continues to ramp and we are currently working with over 2,000 nonprofit organizations as a result of the acquisition of the giving block. As a reminder, the Giving Block is the leading platform for crypto donations, and despite the market turmoil in crypto, we continue to see interest among nonprofits seeking to be part of the Giving Block’s marketplace, which is translating into impressive customer growth. Given the nature of nonprofits, we do expect the fourth quarter to represent the peak season for donation volumes. Now, in travel, the integration of Allegiant Airlines was delayed and we now expect it to begin processing this month alongside European online travel agency Kiwi.com. We have signed an additional airline and as a result of our expanding international capabilities, which we hope to announce later this year. Finally, with respect to our sexy tech vertical, we have a very incredibly important strategic customer that continues to grow quickly which also opens opportunities for Shift4 all over the world. A great example this quarter would be the signing of the Boeing Company as a customer of which we've already begun processing for the Las Vegas location. An interesting point is that it took nearly a quarter to complete that integration of our – and as a result of our recently closed European PSP acquisition, we probably could have completed that integration in a matter of hours instead of months. In the same sexy tech category, we announced Fanatics at the end of last quarter. For those not aware, Fanatics is the largest in-venue and e-commerce sports merchandising partner with Major League and College Sports.  In a short period of time since the announcement, we now process in over 40 of the Fanatics in-venue locations across the United States, including NFL, MLB, MLS, NHL, NBA, and Universities and anticipate having their additional sites operational by the end of the year. The success we have found in our new verticals is still early days. There are many announced merchants like [Time and] [ph] Allegiant that have not even begun processing yet. That stated, our strong momentum in the international expansion has been generating interest, including RFPs from multi-national merchants that previously would never have considered Shift4. So, while the contribution from new verticals took a bit longer to ramp than expected, these verticals are well-positioned to become a much more meaningful driver of our performance in the months and years ahead. So, talking a little bit about global expansion and before passing it off to Taylor, I wanted to provide you a brief update on our Global Commerce initiative. First, we do expect to close Finaro by the first quarter of 2023 and continue to make progress on the necessary European regulatory approvals. In the interim, we continue to work with Finaro to connect our payment platforms via an arm's length partnerships. We also continue to refer merchants to each other. and have already achieved several notable wins. In addition, we continue to enhance our international and e-commerce capabilities via M&A. As mentioned already, we tucked-in a highly capable European payment service provider or PSP at the end of the quarter. It is already really integrating to both Shift4 and Finaro. We can now offer e-commerce merchants in Europe and the United States via a Stripe like integration capability, alongside the ability to optimize their conversion and authorization rates and offer both fraud protection and best-in-class recurring billing payment technology with support in over 40 countries. Where we wish we had enabled to close in this platform earlier is it certainly would have reduced the integration time for many of our new vertical customers. It is worth mentioning that our international expansion endeavors are not just limited to inorganic initiatives. Towards the end of this past summer, we ignited organic project to add end-to-end settlement capabilities in Canada and throughout the Caribbean. Our strategic merchant relationship is what is fueling our global commerce ambitions, but keep in mind, as we add support for new geographic markets, we were then able to bring all the products and services that made us successful in the United States into those markets as well. A great example is Canada and the Caribbean where we have existing gateway volume and restaurant customers using our POS software that we can quickly cross-sell, while primarily serving the needs of our strategic merchant relationship. So, to be clear, we are laser focused on using our low cost capital to seek out payment capabilities throughout the world. Our landmark deal [with] [ph] an important strategic customer is our yellow brick road as we endeavor to meet their global commerce requirements. Our balance sheet remains strong. Our net leverage on a trailing 12-month basis when adjusted for the contribution of our recent initiatives is 3.3x, giving us capacity to pursue other accretive technology assets as we de-lever quickly. I look forward to seeing some of you later today at our business update event in New York. And with that, I'll turn the call over to our President and Chief Strategy Officer, Taylor Lauber. Taylor?
Taylor Lauber: Thanks, Jared, and good morning, everyone. I will focus my remarks on our recent volume trends, an update on our acquisition strategy, and then provide some additional color on our gateway sunset initiative. As a reminder, our previously provided guidance – volume guidance for this year assumed a modest recovery in international and business travel, and 3 billion of contribution from the new verticals such as non-profits, gaming, and our strategic merchant relationship, as well as sports & and entertainment venues. We benefited from the ongoing resumption of travel throughout the summer months and saw a sequential improvement in our lodging volume growth. As expected, hotel volume moderated seasonally in September, but still remains quite strong on a year-over-year basis. In addition, our volume benefited from incremental contributions from new verticals, notably gaming, sports & entertainment venues, and a strategic customer that we disclosed previously alongside of volume contributions from our gateway sunset project. With our new verticals beginning to ramp, the volume trends into the fourth quarter remain highly encouraging and informed our decision to ultimately increase our volume guidance despite continued macro concerns. We are on track to end the year with over 50% end-to-end volume growth. Our work is not complete in new verticals and we continue to execute on complex integrations that will provide important barriers to entry once complete. Some of our new enterprise accounts such as Allegiants have still not begun processing and we anticipate – will begin processing later this month. We believe the combination of new verticals ramping, several material enterprise relationships, international expansion, and of course SkyTab POS sets us up very well heading into the next year to sustain these levels of organic growth. We do continue to believe that consumers will ultimately pull back on discretionary spending if food and fuel prices remain high. However, we also believe our new verticals and international expansion will sufficiently mitigate any pending slowdown. Predicting how and when behaviors change continues to be difficult, but we believe that our competitive positioning, economic model, and balance sheet position us quite favorably versus our peers during any economic downturn. Our acquisition strategy continues to balance accelerating growth in existing verticals alongside our priority to establish global payment rails in support of a very strategic merchant relationship. To double-click on that, throughout the quarter, we selectively in-sourced several of our key SkyTab distribution partners in several desirable markets. The result include a reduction in residual cost of sales, a modest increase in OpEx, but with a significantly superior customer experience, and improved unit economic model. We now have a very balanced approach between direct sales and authorized partners within the restaurant vertical. With respect to international expansion, as Jared mentioned, we added some very sophisticated online checkout capabilities with the tuck-in acquisition of a PSP based in Europe. This platform offers an incredibly easy self-service integration path for software companies and merchants alongside sophisticated recurring billing capabilities, as well as multi-processor fraud scrubbing [BI reporting] [ph] and reconciliation tools. While there was virtually no volume or economic impact to this quarter, we do expect to unlock revenue synergies upon the closing of the Finaro acquisition and we are already able to integrate the technology stack. I encourage you all to visit dev.shift4.com and create a demo account to check it out. Our gateway sunset project is also progressing quite well. We've been able to sunset a handful of connections that were laborious to maintain and have converted the majority of those merchants onto our end-to-end platform. We've also implemented incremental pricing on another portion of our gateway only merchant base, which we believe is a small step towards being properly compensated for the critical value our integrated payment technology provides these merchants. We have also engaged numerous enterprise relationships in a bespoke way to mutually determine the best way we can add value to them. These conversations have resulted in improved economics, including some relationships that are paying essentially comparable costs to our end-to-end offering. Along with many committing to move to our end-to-end over time, which will continue to fuel our growth in the years ahead. Investors often ask what inning are we in, when trying to predict the trajectory of our growth. This quarter should hopefully reinforce that the gateway base offers both near and long-term volume, revenue, and EBITDA growth at significant scale. And despite our progress, it still feels like we're just getting started. Lastly, we have added an upgraded talent across the organization as we scale our high growth core, enter these new verticals and grow internationally. To be in a position to onboard talent at a time when many others in the industry are shrinking, is yet another advantage. And speaking of talent, I'm thrilled to turn the call over to Nancy Disman, our new CFO, to discuss our financial results. Nancy?
Nancy Disman: Thanks, Taylor, and good morning, everyone. Before I turn to our financial results, you may have seen that we filed an 8-K on October 21, and will be filing amended financial statements this week to correct a misclassification on our statement of cash flows relating to customer acquisition costs. While unfortunate, this restatement does not reflect any change in the underlying health and performance of our business. This restatement has no impact on any of our previously reported key business indicators, including free cash flow. We hope the contents of the restated filings, the strong performance this quarter, and our positively revised guidance reinforce the strength of the company and our outlook. In the third quarter, we delivered record results while continuing to accelerate our strategic priorities. Total Q3 volume of 20.6 billion, grew 53%, compared to the same period last year. Q3 gross revenues were 547.3 million, up 45% from the same quarter last year, and gross revenue less network fees were 196.7 million, an increase of 33% over last year. Results were driven by the continued strength of our high growth core, the improving economics we are earning from our gateway customers and the increasing contribution of our new verticals. Given the growth in our new verticals alongside disclosure of limitations and competitive sensitivities, we are only providing spreads for our high growth core, which remained very strong at approximately 76 basis points. As we continue to add new enterprise merchants, this spread will continue to compress modestly. For our new verticals, the rapid pace of growth, and sensitive nature of the customers makes quoting spread difficult, although we do expect the spread from these to expand in Q4. The resulting adjusted EBITDA margin for the quarter was 43% representing approximately 580 basis points of margin expansion over the same period last year. While delivering this margin expansion, we are continuing to invest methodically and responsibly to support our growth strategy, while closely monitoring the macroeconomic environment. Net income was 46.4 million for the quarter. Net income per Class A and C share was $0.78 and $0.57 on a basic and diluted basis respectively. Adjusted net income for the quarter was 36.7 million or $0.44 per A&C share on a diluted basis. Adjusted free cash flow in the quarter was 44.8 million, nearly double the adjusted free cash flow we generated in the same period a year ago and our adjusted free cash flow conversion was over 52%. The current quarter results bring year to date adjusted free cash flow to 90.5 million, which equates to an adjusted free cash flow conversion of 46%. A full reconciliation of adjusted free cash flow is available on the appendix of our earnings materials. In reviewing these materials, you will see that we have conformed all periods presented to reflect the impact of settlement activity on our free cash flow. Adjusting for net settlement obligations is common across our peer set. And for Shift4, this adjustment reflects changes in our accounts receivable balances, which are relieved just shortly after quarter-end. Balances will fluctuate based on volume and calendar timing. With respect to capital transactions within the quarter, as Jared and Taylor discussed, we deployed 378 million of cash to selectively in-source key distribution partners and we completed a tuck-in European PSP acquisition in support of our global expansion strategy. These initiatives represented virtually no contribution to revenue or volume in the quarter. We are exiting the quarter with just over 670 million of cash, 1.8 billion of debt and 99.5 million undrawn on our credit facility. Our net leverage ratio when adjusted for the contribution of recent initiatives is 3.3x based on the trailing four quarters of adjusted EBITDA, and deleveraging at a rapid pace, due to cash flow generation. Our strong balance sheet and free cash flow profile will continue to allow us to invest in the business and our strategic growth priorities, while we remain disciplined in our capital allocation approach. For the full-year of 2022, we are increasing our previous guidance for each of our key performance indicators as a result of this quarter's strong performance and our continued confidence in the execution of our internal initiatives. We are increasing our end-to-end guidance range to 70 billion to 71 billion. Our growth revenue range to 1.95 billion to 2 billion. Our growth revenue less network fees range to 720 million to 725 million, and our adjusted EBITDA range to 275 million to 280 million. Lastly, we now expect our full-year 2022 adjusted free cash flow conversion to meet or exceed 46% consistent with level seen year to date. Our 46% adjusted free cash flow conversion level guidance reflects our adjusted free cash flow normalized for settlement activity, again consistent with industry practice. With that, let me now turn the call back to Jared.
Jared Isaacman: Thank you, Nancy. Before moving on to Q&A, I just want to reiterate how proud I am of the team's performance this past quarter. So, throughout our 25 plus year history, I've always felt the company performed at its best when times were difficult. This was the case during the Great Recession, during pandemic, and now again as we navigate the uncertain climate ahead. A year ago, nearly all of our revenue and volume was derived entirely from restaurants and hotels within the United States. Now, we are growing very quickly expanding margins and free cash flow, operating successfully now in numerous verticals with processing capabilities in over 40 countries supporting 170 plus APMs. Alongside an incredible team, I feel really fortunate to be playing a role in what is a great shift for a story, [globally forward] [ph]. And with that, operator, let's turn to Q&A.
Operator: [Operator Instructions] And our first question today comes from Rayna Kumar from UBS. Rayna , your line is open. Please go ahead.
Rayna Kumar: Good morning. Thanks for taking my question. You gave some really good details on your newer verticals, could you dive in a little bit deeper and discuss the revenue and EBITDA contribution for these newer verticals and how they could trend into next year?
Taylor Lauber: Yes. Hey, Rayna, this is Taylor. Thanks for the question. We tried to throw out a needle here by giving an appropriate amount of detail, but also recognizing that there's some significant strategic relationships and competitive dynamics. So, you'll see some disclosures throughout our upcoming business update materials that talk about the growth in that contribution, but we're not going to be disclosing the explicit volume at the time being. You will see those sequential growth in the materials that you can get a sense for what it's doing on a quarter-over-quarter basis. Jared, I don't know if you want to give some perspective on how you think it will play out in 2023?
Jared Isaacman: Yes, I mean, we did include in our prepared remarks that we do expect our spreads to expand in the fourth quarter within our new verticals and from our strategic customer relationships. So, as Taylor mentioned, I think as new verticals and our strategic customer relationship becomes a bigger contributor to the business, there is greater sensitivity, not just from a competitive perspective, but very confidentiality specifics with respect to certain customers.  So, yes, I think the idea is, we want to be able to signal to you the contribution from these new verticals and how it's growing quickly and the fact that the spreads associated with them will continue to expand, but we can't probably go into too many details beyond that.
Taylor Lauber: I'd say, just the last piece is that we do still have merchants that we've disclosed previously that aren't contributing yet. So, our optimism is quite high. If you, kind of followed our narrative throughout the year was slower than we had expected in terms of getting integration work completed and then volume to begin. We're quite pleased with the pace of volume now, and quite frankly even more pleased when you consider the fact that there's merchants that aren't yet contributing.
Rayna Kumar: Got it. And then that's very helpful. And then on SkyTab your sales distribution is 50% direct and 50% third-party, how should we think about that number evolving over time? Do you expect most of this to go towards direct distribution?
Jared Isaacman: I think we're in a pretty good spot now. I don't know if you looked through the earnings or the full presentation that we'll be reviewing later today, which kind of shows you how our distribution coverage evolved over the quarter from 100% third-party to about 50/50. There are still coverage gaps on the West Coast that we're going to look to solve. But I think what you have right now is a pretty good balance. SkyTab is an amazing product. It's going to win – by having a direct sales approach in key markets where we're very confident in the growth trajectory of the business, we're able to eliminate a long-term residual expense that’s going to be associated with those new wins, which really improves our unit economic model and paybacks. But in the more sparsely populated areas of the country, we're less inclined to, kind of take on that fixed cost overhead of a direct sales force like we've done in the more populated markets. In which case, they're able to have success distributing our product and also providing a lot of other services that we wouldn't normally want to offer. So, we think it was like a really great move at the right time to support our product, but we're going to keep evaluating and we're going to keep closing coverage gaps because this is the right direction for this product.
Rayna Kumar: Great. Thank you. 
Operator: The next question comes from Darrin Peller from Wolfe Research. Darrin, please go ahead. Your line is open.
Darrin Peller: Hey, guys. Thanks. Nice results. I mean, as you said, there's a lot of items that you have control over to help your volume almost regardless of the macro environment. And so, if we could just take a step back and look at the quarter and the outlook for fourth quarter even, when we think about what drove, whether it's gateway conversion organic wins, what actually drove the success in volume this quarter and what you're seeing into next quarter? And then are you seeing any – and what I mean by that is really if you can parse-out the gateway, the controlled gateway conversions and other variables? And are you seeing any change in the consumer behavior in any of your vertical yet that is something worrisome or is it just – you talk a lot about it in, sort of all merchants merchant acquirers these days about the pending change in demand, obviously? So, what are you seeing there if you don't mind?
Jared Isaacman: Yes. Thanks, Darrin. I mean, good questions. For starters, I mean, the majority of the growth in the quarter was absolutely within the high-growth core. So - and I'd say, that's normally driven 50% by new – just pure net new customer wins leveraging our software integrations in a really awesome addressable market and the other 50% is usually gateway conversion. We do have an active gateway sunset project underway. So, you're getting all the typical gateway conversions you would have otherwise had and then you're probably pulling forward a little bit more as a result of that very targeted initiative. So that for sure is like the lion's share of the quarter. Next, I mean, you've seen new vertical growth each quarter, but for sure, I mean, this was a quarter with a big contribution from our new verticals kicking in, which is great because that is, as I mentioned in our prepared remarks, it's moderating what would otherwise be a seasonal low kicking in from your restaurant hospitality customers. In terms of, kind of the health of the consumer right now, I think that we've taken a position since the beginning of the year, Taylor, especially probably to our own detriment kind of sounding the alarm in the first quarter before anyone else that’s like we don't think the $90 stakes are going to last forever. And I'd say it's not overwhelmingly clear right now that that is the case because you are moving into a seasonal low period anyway within those verticals.  What I will say is that we positioned the business very, very well to perform and grow even if there is a slowdown in consumer spending. I think we've demonstrated that throughout our history. That's kind of what we know how to do in challenging times, I think this quarter represents that really well. And the fact that we can always draw upon our existing basic gateway customers or existing base of software customers and the contributions of our new verticals is what's going to help us navigate if that eventual consumer slowdown should be realized.
Darrin Peller: All right. That's really helpful, Jared. Just one quick follow-up is on profitability. And in the context of the market we're in, which is our focus on both free cash and EBITDA, it's great to see the results on the EBITDA margin side as well as free cash conversion now. So, maybe just remind us, I know there was a little bit of pricing benefit on the gateway side or what are the other key variables that really have been driving the strength you're seeing now and what your view is on sustainability there in terms of levers and operating leverage?
Jared Isaacman: Yes, I think that's a good question. I mean, at the beginning of the year when it became, kind of clear that we were definitely going to be navigating a different climate. I kind of came out and said, look, in 2021 and just a period of immense exuberance in euphoria in the market, it was almost head scratching. We raised a lot of capital. We didn't deploy it because it just seemed like a very unusual time period and this year makes a lot more sense to us. So, I think you achieve this kind of profitability in margin expansion by recognizing the climate you're in. Having been there before, I can't emphasize that enough that we are experienced in good market downturns. And kind of prioritizing your firepower on real needle movers. So, well timed investments in SkyTab POS, a cloud-based solution that allows you to have a more direct sales approach. So that can eliminate some ongoing residual expense and future residual expense. Certainly, you take on a lot of fixed overhead. We increased the headcount of the organization by 15% alongside that initiative. So, not all benefit, you take on some expense along the way. We have a very large population of gateway volume. I mean, I think we previously stated well north of 150 billion in volume. It's a lot of volume that wasn't being properly monetized because it wasn't appropriate to do so during a pandemic. That improves free cash flows and margins. Vertical, we've entered into is predominantly a direct sales effort that doesn't have a big – it doesn't have a residual expense associated with it. And it's also a lower cost in terms of hardware contribution and lower overhead. I mean, it's probably the same one or two support people that maintain 10 stadiums, maintain a thousand restaurants. So, literally everything we've been doing from the beginning of the year has been designed to expand margins and free cash flow is kind of the responsible thing to do going into this climate. We think it's incredibly sustainable.
Darrin Peller: That's great. Thanks, Jared.
Operator: The next question comes from Timothy Chiodo from Credit Suisse. Timothy, your line is open. Please go ahead.
Timothy Chiodo: Great. Thank you. A couple of things I just wanted to recap in terms of mechanics. So, in terms of the 268.2 in terms of the residual commission buyouts, the in-sourcing that you were referring to. So, my understanding would be that there is no end-to-end volume impact from that, and no gross revenue impact. However, there would be a reduced pay-away, i.e. the cost of goods sold would be lower, therefore, gross profit higher and EBITDA higher. If you could just quantify and just confirm if those mechanics are roughly accurate and what the impact to gross profit or EBITDA would be either for Q4 or in the out years on an annualized basis? That would be very helpful. And then I have a follow-up on Q4 as well?
Nancy Disman: Yes. Hi, it's Nancy. You've got that exactly right. I mean, we're not going to, kind of pick that apart as we think about Q4. The one thing I would, kind of add into that mechanics is what Jared just talked about. Obviously, we do have some offset because we just grossed up this wasn't – I wouldn't call this simply a residual buyout mechanism, right? This was really in-sourcing of distribution for us. So, we did see an offset on the SG&A side as we build-out the internal sales force, but generally, I think the mechanics as you've justified them are appropriate.
Timothy Chiodo: Okay, great. Thank you. And then two minor kind of numbers ones. The first one would be for Q4. So, for the smaller acquisition, you mentioned the European tuck-in PSP, could you disclose how much revenue is in the Q4 guide associated with that roughly?
Nancy Disman: No. Go ahead, Taylor.
Taylor Lauber: We haven't disclosed that.
Timothy Chiodo: Okay. All right. No problem. And then the last one is, the gateway fees, I know it's a little bit harder to get to this quarter because the spread that you've given on end-to-end is for the core only, it looks like maybe the gateway fees were a little bit different this quarter or maybe there's a mechanical difference. Could you just disclosed what the gateway fees were this quarter and if there's any mechanical change that we should be aware of?
Taylor Lauber: Yes. So, we haven't disclosed the gateway fees in this quarter. And part of this is Jared’s commentary and Nancy's through the scripted remarks around being able to [back into the] [ph] spread. It's just too sensitive to competitive environment to disclose those. What I would say is gateway [fees rose] [ph]. Inside of the quarter, we talked about that pretty extensively even back on our Q2 call with some of the actions that we had during the gateway sunset initiative, but the quantum and how that interplays with the new vertical contribution is something we're not going to disclose this time.
Timothy Chiodo: Thank you. Totally appreciate that. Directional is more than helpful and the rise is – it's completely aligned with what you're saying there. So, I completely respect the fact that you can't give that number. Thanks for taking all those.
Taylor Lauber: No worries. Thank you.
Operator: The next question comes from Andrew Bauch from SMBC. Andrew, your line is open. Please go ahead.
Andrew Bauch: Hey, guys. Thanks for taking the question. Just wanted to talk about your philosophy around the gateway sunset strategy? And I know that in the past like during the pandemic you had called out a more sensitivity to merchant challenges and maybe taking a more cautioned approach and how you, kind of incentivize merchants to convert to full stack? I mean, as we kind of get into a more challenged economic environment, is there any pivot that you, kind of see on the horizon is how aggressive you do want to go about the sunset strategy?
Jared Isaacman: Yes, I mean, Jared here. Thanks for the question. I'll try and answer that a little bit. I think even aggressive sounds like a pretty strong word. I mean throughout the entire pandemic, given the fact that our gateway customers are phenomenally restaurants and hotels, it was an entirely carrot-first approach. All those carrots remain. I'd say that the reason that we're introducing some sticks and it actually, kind of dates back to the history of these gateway platforms. One of which that we acquired from a joint venture between JPMorgan and Chase was intentionally run at a loss in order to monetize upstream from the JV. These agreements are rolling off their years without any proper price adjustments. And in reality, you're not even being remotely rewarded. You're capturing the smallest portion of the payment economics for what is the bulk of the value, which is the software integration, the tokenization, the encryption, the business intelligence. So, I'd say like the idea is, we are gradually, I mean, can't emphasize enough, feel like in the first inning associated with this, re-pricing those accounts at contract renewals, to more appropriately reward or compensate the company for the value we're delivering through our service. That said, we have all our same standard carrot offerings out there. We wait gateways if you move to our end-to-end platform. We upgrade your hardware to support mobile payments, Apple Pay, contactless payments, we provide our handheld devices to have an improved operational efficiencies and venues. So, all of the carrots remain. It's just we've reached a time period now where we got to take out some of the parts that have existed on these platforms for decades. We have free-up some of our internal resources to invest and build the future payment platform that should take us all over the world and just be properly rewarded for our service. So, I'd say that's all under way, but I would hardly use the word aggressive. I think it's pretty early days there.
Andrew Bauch: No, no, I can appreciate that. Just wanted to touch upon the software side of the business. I mean, another straight quarter of really positive trends in that business. Thinking about it in the medium-term perspective, is there a likelihood that you kind of get to a growth rate within that side of the business that matches what you see on the end-to-end side? Just want to think about the longer-term modeling of that, particularly as you add more functionality with SkyTab and others?
Jared Isaacman: I mean, there's no question that SaaS-related revenues are only going to increase. I mean, one of our acquisitions, the [giving clock] [ph] is predominantly driving SaaS revenue growth as non-profits really all over the world join the platform for accepting, you know, crypto-based donations. SkyTab POS, I mean, as we consolidate four legacy software brands around SkyTab, the only way you get the solution is with a SaaS subscription plus payments, which is pretty meaningful lift considering about 85% of our restaurant customers today don't pay really any SaaS fees whatsoever. All of the progress we're making in our sports & entertainment for sure comes with payments related revenue, but every one of our sports and entertainment venues and theme parks is paying SaaS revenue. So, yes, I mean, I think like end-to-end volume is pretty straightforward and easy to understand. I think across our Gateway business and our SaaS business, you definitely will have a real kind of ARPU expansion dynamic taking place over the years ahead.
Andrew Bauch: Got it. And congrats on a nice set of results guys.
Jared Isaacman: Thank you.
Operator: The next question comes from Ashwin Shirvaikar from Citi Group. Ashwin, your line is open. Please go ahead.
Ashwin Shirvaikar: Thank you. Good quarter. Congratulations. And, Nancy, welcome. I know you officially came before 2Q, but welcome. I guess one differentiation for you guys has always been the software integrations in the call. Can you [speak with] [ph] how this process is happening in new verticals? Is there a timeline and also an investment cycle that we should think about?
Jared Isaacman: Ashwin, hey, it’s Jared. Thanks for the question. Well, first, let me kind of break it apart between high growth core and our new verticals. So, high growth core, I mean, we're really lucky it is rather easy to continue to add and refresh new software integrations within high growth because I mean, we have a lot of share of the verticals we serve within high growth core. So, every new software company that develops the next cloud-based hotel property management system software or salon and spa software, taking software for – is going to refresh that on our platform. It's how we added about 85 integrations over the last quarter. So, in that respect, that kind of is rather easy. I'll tell you what's really hard is moving into new verticals. I mean, software companies and enterprise merchants would rather do anything other than do another payments integration. So, declaring a year ago at our Analyst Day, hey, we want to move into non-profits because there's a $450 billion payment opportunity there and it's – they use tons of different software that doesn't talk to each other and this is like, kind of what we do really well within the hospitality vertical. It's been hard. And I'll tell you that we had expectations to be delivering volume from our new verticals a quarter ago. And it was delayed and now you start seeing it today. And even as I think impressive as our volume growth was this quarter, we still don't have region or time processing yet. So, I'd say, like, in general, integrated payments is hard, and we are fortunate to be advantaged within our high growth core and we're making awesome progress, thanks to some signature wins, anchored customers, and new verticals that's helping us grow. The nice thing is, once you have those integrations, they essentially become a hunting license within every one of those verticals. Once you get one sexy tech customer it attracts the interest of others and you can reuse some of the integration work, the same with airlines. This is certainly the same with gaming and non-profit. So, really happy with the results in there and actually especially the European PSP we acquired this past quarter. I mean their whole emphasis is on a very strike like integration current billing [BI type layer] [ph]. That in itself is going to help, you know, take a lot of the friction out of attracting new integrations across our various verticals. So, I think we're set up pretty well for it. We certainly don't have any big CapEx budget for a refresh cycle on the horizon because we think we've actually positioned things quite well for our new verticals.
Ashwin Shirvaikar: Got it. Got it. And then on the medium-term outlook, you're keeping that, you know at this point and completely appreciate you're increasing the estimates for this year. You have, I would presume pretty good visibility to what next year should look like in spite of macro, but could you maybe lay out the two-year path of, you know, how you get from where we might end this year to that outlook? Because it does imply in-spite of macro relatively significant growth for all the metrics?
Taylor Lauber: Yes, sure. I would say, we'll start with, we've got a big event later today to talk through kind of our progress in all of the initiatives we had laid out a year ago when we set that guidance. So, I don't want to detract too much from that session except to say that I think we've demonstrated through a bunch of ways that the medium-term guidance is quite achievable. We're a third of the way there with our full-year guidance for 2022 suggesting that we feel like we're going to be nicely set up for how we position the next couple of years ahead. One thing I would say is, it's always a little bit varied in how you think it's going to play out versus how it actually does. And I think that was evidenced by a little bit slower pace in new verticals and yet initiatives like distribution and sourcing and releasing our SkyTab products. and the catch up of those new vertical contributions accelerating through the back half of the year. So a lot to dig into as we meet later today, but we still feel really good about that medium-term guidance.
Jared Isaacman: Yes, I mean, Ashwin just to layer on, I mean, we put out the mid-term outlook at our Analyst Day last year. Pretty much everyone said, it's not achievable at all. Maybe we'll get close, but we're one year into it and I think we're ahead of plan in that regard. That said, for sure, like it is uncertain climate ahead. I think what this quarter should demonstrate is, again, we know how to navigate a tough climate and we have a lot of confidence in our ability to do so. We've accumulated some fantastic assets over the years, but I don't think really our investors fully appreciate. Having essentially owning two of the four complex hospitality and restaurant related gateways with them well in excess of 100 billion of volume as an opportunity set is pretty incredible. And I mean, we have a natural foot in the door across a large share of restaurant hotels in the country. We've got great products. And we've done all this over 20 some odd years entirely in the U.S. And now as of this quarter, have a real ability to take these products and services into other markets. So, for sure, there are going to be things that we won't be able to control on the journey ahead. I think reaffirming our mid-term outlook and the performance in year one should signal a lot of confidence on our ability to achieve it.
Ashwin Shirvaikar: Got it. Thank you.
Operator: The next question comes from William [indiscernible] from Goldman Sachs. William your line is open. Please go ahead.
Unidentified Analyst: Hey, guys. Good morning. Nice set of results this morning. I wanted to ask a little bit about a follow-up question on the SkyTab distribution strategy. Obviously a fairly large shift to go from nearly all third-party distribution to 50% in a single quarter. You mentioned the 15% headcount, just how are you thinking about retraining or reeducating of the sales force to have them, kind of going to market with a modern platform? And I guess maybe higher level 50% direct today? How many more of these in-sourcing deals do you guys think could be in the future?
Jared Isaacman: Yes. Well, so good questions there. I'd say, you know, training everybody on you know, for starters I guess, what a quarter, right? I mean, we increased the headcount in the organization by 15% plus. We brought on about 300 restaurant point-of-sale professional service technicians across the country. I think the good news is, they already know exactly what they're doing. I mean, these are organizations that have been successful with us for as long as we've been in the restaurant POS space and many of them have been successful pursuing restaurant opportunities for literally two generations. So, they know what they're doing. They certainly know who the competitor is out there. I mean, it's Shift4 and Toast. They've been up against that competitor for some time. And now they have a product that really hangs with the best.  So, I mean their ability to adapt to SkyTab POS and get out and hit the ground running. It's been actually rather easy. They've been waiting for this opportunity. I think in terms of how much more is there to go, I wouldn't say probably a lot. We tried to really get this done to coincide with the formal launch of SkyTab, which I mean the results over two months are pretty strong. Right now, I think it's much more about closing coverage gaps. So, you know, as you can see in one of the slides that we'll review later, I mean, we're still pretty weak on the West Coast. So, we're going to want to sort that out whether that's organically building up direct sales force? If there's a distribution partner there that we think we can build it around, that's certainly a possibility too. But I think it's much more about coverage gap versus being kind of an ongoing initiative.
Unidentified Analyst: Got it. Makes a ton of sense, super helpful. And then maybe just one on the gateway price increases. It seems like you're kind of rolling that out in stages, can you just give us an update on kind of what portion of the roughly $180 billion number that you've pointed to in the past on the gateway has actually gone through that process? And what's the timeline like on, kind of rolling out, kind of across the board increases to that customer set?
Taylor Lauber: Yes, sure. This is also one that warrants a bit more time than we have for quick Q&A. But just to sort of give you the thumbnail, there's kind of three distinct ways we're approaching [this] [ph]. There's connections that just don't make economic sense to maintain, kind of regardless of the economics or at fixed economics that adjusting wouldn't be appropriate and doesn't make sense. Those were being a little bit more aggressive about saying merchants. kind of have to move. There's another population that is a price adjustment on a steady basis makes sense. I think the commentary we've made around that Jared mentioned it briefly on this call as well is that we've implemented some price change, really didn't get much acknowledgment at all from merchants. suggesting there's room to go on there. And then there's a portion of enterprise relationships that are much more bespoke in how you need to approach them. They're large. They've got very distinct needs. And we've had success with those as well, but you approach them in a, sort of a sequential way based on what their agreement terms are. So, we've addressed every single portion of that population. We haven't moved price on all of them. And we haven't broken that down on a volume basis just because it's pretty idiosyncratic with regard to the contribution of enterprise relationships in the volume versus SMB, but all of it is on our list and we've had conversations with a portion, and I think it will feed kind of the growth whether it's end-to-end volume revenue and or both for years ahead as Jared mentioned.
Jared Isaacman: Yes. Maybe just to pile on a little bit to that. I mean, one to give you a sense of how much there is to go? I mean, we've been stating for some time now that you get a 4x to 5x uplift minimum in gross profit when a gateway customer moves to our end-to-end platform. And they usually save money and solve a lot of other pain points along the way. So, it kind of tells you how little. And again, some of this was intentionally by design to the prior owners of the gateway platforms we acquired. How little of the payment economics that are captured by the one organization that actually integrates the technology into the commerce enabling software encrypted, tokenizes it, provides all the business intelligence and gets, like I said, what I consider like virtually nothing of the actual payment economics. So, gives you a little bit of an idea across very large 150 billion plus opportunity there is to go in order to be more properly compensated for that service. The real commodity pricing on it that should be getting the smallest portion is the acquirer behind the scenes that's doing literally just settlement, which any of them can do. In terms of like the progress we've made so far, as Taylor said, like it's pretty surgical. You're going in phases and some of it varies based on the gateway connection or who the customer is, but you're talking about like the equivalency of like an independent hotel generating 10 million plus a year in payment related revenue of paying the equivalents of like a Netflix subscription. So, again, just reinforcing how early stage it is and how far we can still go with that initiative specifically, which is also just driving a lot of end-to-end conversions as well, which is actually the optimal outcome.
Unidentified Analyst: Got it. Makes ton of sense. Appreciate taking my questions and looking forward to hearing more about all of this later today.
Operator: The next question comes from Roberto Suarez from Evercore ISI. Roberto, please go ahead. Your line is open.
Roberto Suarez: Thank you. Good morning. Appreciate Slide 29 with the SkyTab unit economics. Looking at Slide 27, can you quantify the increase in client retention both with the beta and new customers on SkyTab POS?
Taylor Lauber : We haven't done that explicitly. It's fair to say the retention goes up significantly. And there's a few different variables to that. Number one, Android-based software, you can update remotely, you can push out feature set, significantly. We do think that the in-sourcing of distribution and controlling our customers' destiny that much further also increases retention, but we haven't done us at this analysis only because, you know, the product just launched in September.
Roberto Suarez: Got it. Thanks. And just as a quick follow-up. We heard from a number of global airlines that the seasonal summer strength in travel has continued into the fall. Where are you seeing when you look at the beginning of the fourth quarter in terms of hotels and restaurants? Is that theme carrying through to your customer base?
Taylor Lauber: Yes. In hotels specifically, absolutely. So, if you recall, restaurants took a lot of price lift last year. We've seen their ability to take price lift this year diminish. I think we've been saying that since sort of Q1. Hotels, it's that phenomena, like 2022 is their year, right? So, you still had a really, really robust increase in travel as international restrictions lifted as companies called people back to work. We're seeing those trends continue, probably more so in room rate than actual transaction rate. Hotels can charge a lot for those that want to attend them. So, it's continued nicely into Q4. Again, anyone's guess, if you recall, we have had two years in a row of a sudden slowdown in December. So, we're always skittish. And our commentary around that is to be cautious there, but hotels are robust.
Roberto Suarez: Thanks so much.
Operator: The next question comes from James Friedman from SIG. James, please go ahead. Your line is open.
James Friedman: Hi. Thank you. It's Jamie. So, Jared, I wanted to get your perspective or Taylor, about – in terms of Slide 20, the sports & entertainment and gaming, you outlined a lot of the progress you made in sports & entertainment and I hear a lot about your progress in gaming. How do you see the overlap of those two verticals at all?
Jared Isaacman: Yes, Jamie, so Jared. Happy to answer it. I kind of alluded to it a little bit in our – in my prepared remarks. We always thought – well, let me maybe just kind of rewind the clock, right? So, up until a couple of years ago, game, like mobile gaming, [sports wagering] [ph] wasn't even legal in the U.S. So, basically, everybody started from zero. And I think you have a handful of payment companies that are all sprinting towards this new and emerging opportunity, right? And you'd have PaySafe as one that would say, we have a lot of APMs in Europe and that's what gives us relevancy and a right to win in the U.S. market. You'd have [New Bay] [ph], for example, that would say, well, we do all the processing via [Safe Charge] [ph] for all the European payments companies. So that gives us a right to win in this space. And Shift4 would say, well, look, I mean, probably 40% of the in venue casinos in this country are Shift4 customers. And we also are the category leader in sports & entertainment. We think people probably will do a lot of wagers in stadiums during football games and baseball games and basketball games. And if you can, kind of marry the experience or at minimum just provide good analytics as kind of customers move from that casino real [indiscernible] environment to sports and entertainment, to mobile wagering, that probably adds value. And I think, kind of the answer is, is all three of us are finding varying degrees of success in that. And plus you have a lot of customers in the gaming world who will never, you know, their volume with a single provider. They'll certainly split it between the three. So, I think it's working out very well. I totally believe that having our strong presence in stadiums and sports & entertainment venues is a differentiator and helps us win within the gaming vertical. 
James Friedman: Thanks for that. And then if I could just ask, when you use that term [Stripe Length] [ph], you may be getting into this at 2 o'clock and Taylor, thanks for showing the dev.shift4.com dashboard, because this is helpful. But what exactly do you mean by that straight Stripe Length?
Taylor Lauber : Yeah. So, it's really self-service for whether it's a software developer, or an enterprise merchant that runs their own e-commerce stack, it's the ability to go without asking anyone a question, without pulling out a bunch of documents, learning how to integrate in an hour as opposed to what's traditionally been the case of payment gateways where it's a discussion, it's an NDA, it's a complex API that doesn't come naturally. So, this platform offers really, really ease of integration and then layers on the complexity that a big e-commerce enterprise merchants can need over time, right, like whether it's supporting multiple processors across different geographies and fraud scrubbing and common reporting against them. So, it's an easy put in the door to understand how transactions work and to build things like recurring billing and some of the things that might be relevant to you as the merchant or software provider. And then it releases, kind of the more extensive features that a growing merchant is going to need all over the world in a very digestible way.
Jared Isaacman : Yes. And Jared here, let me just layer on to this. So, to answer your question, there will absolutely be a demo of the capabilities that you're asking about during the update later today. But maybe to just expand a little bit on what Taylor said, I mean, for more than two decades of our history, everything was about in-venue commerce for Shift4. I mean, that's kind of what really separates us from, you know, the [indiscernible] stripes and the other kind of really pure play integrated payments providers is almost all our customers are having in venue commerce, restaurants, hotels, ski resorts, casinos, stadiums, right? And what is a component of in-venue commerce? It's devices. It's hardware, you know, that has to be encrypted and tokenized and integrate with other software. And as a result, it's kind of a lengthy integration process. When a new hotel property management system software company wants to integrate in Shift4, that process can take a couple months. You've got to make sure the devices are compatible with the software or how we tokenize, how we decrypt, how it interacts with other software in the venue. And that's totally normal for that climate. It is totally abnormal for e-commerce customers, for app developers. They don't want to go through, like, a month long process like that because so much is in applicable to them. This is what's made Stripe so impressive and successful is they just make it incredibly easy on developers who only need like eight things to work really, really well. So, the European PSP that we acquired that already has integrations into the Finaro. So that will unlock a lot of synergies when we close on the Finaro acquisition. It's already integrated Shift4. It takes a customer like, again, hypothetically, the boring company, which was a long-integration process for us. It was probably a month or more. They could complete that same integration literally in a matter of hours leveraging our new e-commerce capabilities. So, that's what we refer to when we say, kind of like Stripe like integration capability.
James Friedman: Got it. Thanks for that.
Operator: The final question we have time for today is from Andrew Jeffrey from Truist. Andrew, please go ahead. Your line is open.
Andrew Jeffrey: Thanks. Appreciate you sneaking me in here at the end. Jared, I think you've touched on this a little bit, but I'd love to hear to, sort of an elaboration venues in particular are pretty important growth driver for Q4 and we hear other processors in the market talking about their venue wins. Can you just elaborate a little bit on what you think Shift4’s right to win is in venue and why you think you can be the dominant provider in that space?
Jared Isaacman: Yes. It's a great question, Andrew. And I think 100% we are the dominant provider in that space. So, we completed an acquisition in the summer of 2021 for a company called VenueNext. VenueNext, you know what attracted us to them is, as they describe, it's a fan first mobile experience. Meaning like the entire, kind of commerce experience that's taking place within the venue is happening on the consumer cell phone. So, that's where they're ordering their food and having it delivered to their seat. That's where they're getting their loyalty That's where they're ordering the Jersey from the merchandise store so they can pick it up. That's where they're booking tickets for the next event. That's how they access the VIP suite. And it was very apparent to us during pandemic that this is how it's going to be. It probably should have always been that way before the pandemic. Nobody likes, like waiting on endless lines during half time. So that technology is kind of the key driver of all of our growth in sports & entertainment vertical. Every stadium is going to move towards letting their consumers order a burger and a beer in their seats. And they're probably going to be able to pay for it with the kind of proceeds from a first half wager on the football game. I mean, and they're going to be able to do their ticketing through it. Like, this is all, like, a logical evolution of the industry. So, that's why we're winning. Everybody else, all they did was make a refreshed, nicer version of a concession stand POS system, which nobody wants to use. And we obviously can do that too with SkyTab POS. That's like the easy part. The hard part is cracking the code on that mobile fan first experience. Any competitor of ours needs to use three or four other companies to deliver a comparable experience, which means it costs more. It's more prone to failure. And customers would rather go in our direction, which is, kind of the same story about how we win in hospitality and restaurants too.
Andrew Jeffrey: That's a helpful distinction. Appreciate it. I'll leave it at that.
Operator: This concludes today's Q&A. So, I'll hand back to the management team for any concluding remarks.
Jared Isaacman: Yes. No, we appreciate everyone dialing in. Hopefully, we'll see many of you in-person later today for our SkyTab Showcase and Business Update. We have quite a bit to talk about. Thank you very much.
Taylor Lauber: Thanks.
Operator: This concludes today's call. Thank you very much for your attendance. You may now disconnect your lines.